Operator: Welcome to the Oil States International Incorporated second quarter 2013 earnings conference call. My name is John and I’ll be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Miss. Patricia Gil, Investor Relations. Ms Gil you may begin.
Patricia Gil: Thank you, John. Welcome to Oil States' Second Quarter 2013 Earnings Conference Call. Our call today will be led by Cindy Taylor, Oil States' President and Chief Executive Officer, and Bradley Dodson, Senior Vice President and Chief Financial Officer. Before we begin, we would like to caution listeners regarding forward-looking statements. To the extent that our remarks today contain information other than historical information, please note that we are relying on the Safe Harbor protection afforded by Federal Law. Any such remarks should be weighed in the context of the many factors that affect our business including those risks disclosed in our Form 10-K and other SEC filings. I will now turn the call over to Cindy.
Cindy Taylor: Thank you, Patricia. Good morning to all of you and thanks for joining our earnings conference call today. We entered the second quarter of 2013with continued global economic uncertainty along with cautious optimism of an improving U.S. economy. These market conditions led to mixed results for our company this quarter with revenues up sequentially in all segments except accommodation. Our accommodation segment reported sequentially lower results primarily due to the impact of spring break up in Canada which was exacerbated by flooding in Alberta and in the Bakken along with lower contractual rates. Our accommodation’s results were also negatively impacted by weaker Canadian and Australian foreign exchange rates. The Aussie Dollar, in particular weakened considerably late in the quarter and had tumbled a 11% since May. Room count expansions had slowed during 2013 given these global economic conditions. However, we recently announced the construction of a new camp facility in the Permian Basin along with the opening of a new Canadian lodge in southern Saskatchewan and appeared to be on track to meet our 2013 room count growth guidance. In contrast, we posted strong results from our off-shore products business during the quarter and enjoyed increased demand for our proprietary completion services and equipment. Off-shore products posted a book-to-bill ratio of 1 time, allowing us to maintain solid backlog levels totaling $561 million at the end of the quarter. EBITDA margins in the off-shore products segment for the quarter totaled 20%. In our Well Site Services business, revenue and EBITDA were sequentially up 5% and 6% respectively, largely due to contributions from the Tempress acquisition and improved pricing on a per ticket basis and completion services coupled with improved drilling rig utilization and margins. At this time, Bradley will take you through more details of our consolidated results and financial position, and then I will provide a detailed discussion of each of our segments and will give you our thoughts on the current market outlook. Lastly, I will conclude our prepared remarks with an update on our strategic assessment of the accommodations business.
Bradley Dodson: Thank you, Cindy. During the second quarter of 2013, we reported operating income of $127 million on revenues of $1 billion. Our net income for the second quarter of 2013 totaled $77 million or $1.38 per share, which included $0.12 per diluted share of non-recurring items detailed in the press release. Excluding these non-recurring items, second quarter results would have been $1 billion of revenues, a $135 million of operating income, $204 million of EBITDA, $83 million of net income or $1.50 per diluted share. The comparable second quarter 2012 results were $169 million of operating income on revenues of $1.1 billion. Net income for the second quarter 2012 totaled $111 million or $2.01 per diluted share, which included a pre-tax gain of $2.5 million or $0.03 per diluted share after tax related to insurance proceeds received during the second quarter in excess of net book value for land drilling rigs that was lost in a fire in the first quarter of 2012. The year-over-year decrease in profitability with the result of lower contracted room rates in the Canadian accommodations business, lower OCTG prices in margins, lower occupancy levels at certain Australian villages and increased U.S. drilling in completion at reduced U.S. drilling and completion activity partially offset by contributions from the Piper Valves and Tempress acquisition. During the second quarter of 2013, we reported strong cash flow from operations of $148 million and we invested $133 million in capital expenditures, primarily related to the ongoing expansion of our accommodations business. During the second quarter of 2013, the company repurchased $1.5 million or 20,000 shares of its common stock under its authorized share repurchase program and average purchase price of $74.27 per share. Our net debt at the end of the second quarter totaled $941 million. Our debt-to-cap ratio was 32% and our trailing leverage ratio was 1.4 times. As of June 30, 2013, we had liquidity of approximately $988 million under our credit facilities and $226 million in cash. In terms of our third quarter 2013 guidance, we expect depreciation, amortization expense to total $69 million and net interest expense to approximate $18 million. Diluted shares are expected to total $55.7 million in the third quarter of 2013 and we expect our 2013 effective tax rate to approximate 28.2%. The company currently plans to spend approximately $550 million to $600 million in capital expenditures during 2013. This guidance range is down from the prior quarter as we now expect some of our offshore product CapEx to ultimately be spent in 2014. At this time, I’d like to turn the discussion back over to Cindy who will review the activities in each of our business segments providing outlook and guidance for the third quarter of 2013.
Cindy Taylor: Thanks, Bradley. I’d like to lead off with our accommodations business. On a sequential basis, our accommodations segment … revenues decreased 18% to $244 million and EBITDA decreased 29% quarter-over-quarter to $96 million primarily due to the effects of spring break up in Canada and its impact on the mobile camp business, the non-recurrence of a $4 million earn out accrual adjustment in the first quarter of 2013 and lower contracted pricing. Our lodge and village revenue was down 7% sequentially as a result of breakup in Canada continuing softer occupancy level at certain villages in Australia and a stronger U.S. dollar which served as a drag on foreign derived profits upon translation. During the second quarter, we announced the construction of a new facility in the Permian basin in Pecos, Texas that will support oil and gas operations and related services in the region. The accommodations facility opened for occupancy at the beginning of Jun 2013 with the room count expected to increase to a total capacity of 310 rooms by the third quarter of 2013. We also announced the opening of a new Canadian lodge in southern Saskatchewan that will support power and infrastructure construction projects in The Estevan Saskatchewan region and the surrounding Bakken oil and gas shale area. The accommodations facility opened for occupancy in mid-June 2013 with expected total capacity at 348 rooms. During the second quarter of 2013, our average available room totaled 20,201 rooms, a sequential increase of a 192 rooms with a rev par of 108 in line with our guidance. We expect an average lodge and village rooms to increase another 2% in the third quarter. Accommodations revenues are expected to range between $255 million and $265 million as a result of better utilization of our Canadian mobile camp and operations begin to recover from the effects of break up. At this point, we are not forecasting any material improvement in our Canadian lodge and Australian village occupancy level, nor for our U.S. accommodations utilization. In addition, a stronger U.S. dollar will continue to negatively impact the translation of our foreign derived profits. As a result, EBITDA margins are expected to range from 39% to 40% in the third quarter while full year margins are expected to be within our long term margin guidance of 41% to 43%. In our offshore product segment, we generated $204 million of revenues and $42 million of EBITDA during the second quarter. Sequentially, revenues and EBITDA increased 2% and 16% respectively and EBITDA margins came in at 20%, 260 basis points improvement quarter-over-quarter. During the quarter, we experienced high levels of manufacturing and service activity and we enjoyed the favorable revenue mix favoring our subsea equipment and drilling related products. We booked $208 million and new orders during the quarter and reported a backlog of $561 million at June 30, 2013 with a book-to-bill ratio of one time. Noteworthy backlog additions in the second quarter included deck equipment and connect with product orders for China and Russia respectively. For the third quarter, drilling and production equipment sales are expected to accelerate and we anticipate a higher level of service work to be performed such that revenues are projected to increase to $230 to $240 million. EBITDA margins will depend upon our revenue mix and project execution but are projected to be in the range of 18% to 19%. Our well site services segment generated revenue of $186 million in the second quarter of 2013 compared to $178 million in the first quarter of 2013. EBITDA during the second quarter of 2013 was $57 million compared to $54 million in the first quarter. Results for the second quarter of 2013 included a charge of $3 million related to an increase in an acquisition related, contingent liability and a $1.6 million out of period revenue accrual reversal. Excluding these non-recurring items, EBITDA increased 15% quarter-over-quarter and EBITDA margins in the segment improved to 34%. Despite the flat sequential U.S. rig count, this segment grew revenues and profits primarily due to greater service intensity in the active shale basin, particularly in the Permian basin, South Texas and the north east along with greater contributions from the Tempress acquisition and higher drilling rig utilization end margins partially offset by spring break up in Canada. In our completion service business, the number of tickets issued during the second quarter increased 1% sequentially and revenue per ticket improved 4% when compared with the first quarter of 2013. We continue to see signs of improved activity in certain basins that should help our completion service business contribute to sequential growth in the third quarter. As of today, a total of seven of our drilling rigs remain stacked primarily in the Permian Basin. We estimate that third quarter revenues for our Well Site Services segment will range between $185 million and $195 million with an EBITDA margin of 32% to 33%. During the second quarter of 2013 Tubular Services generated revenues of $406 million compared to $394 million in the first quarter of 2013. Tons shift was 6% higher sequentially and growth margin as a percent of revenues was flat at 5.1%. Industry inventory levels as measured by the OCTG situation report now stand at approximately 4.7 month supply. While the OCTG market has been impacted by higher levels of industry inventories, strong import volumes and increasing U.S. mill capacity, the recent trade suite filed against nine OCTG producing countries could positively change the domestic OCTG industry dynamics although it is too soon to quantify the timing or extent of its potential impact. The company’s OCTG inventory increased by $17 million on a sequential basis totally $439 million as of June 30, 2013. As of June 30, 2013 approximately 90% of our Tubular inventory was committed to customer order. We expect our Tubular Services segment to generate revenues of between $400 million and $410 million in the third quarter of 2013 with gross margins ranging from 5% to 5.5%. In summary, our second quarter results were mixed, but did decline on a sequential basis do impart to seasonality, wet weather and a soft global economic environment. Our results in the third quarter of 2013 should grow sequentially as operations begin to recover from the effect of breakup. In addition, we are looking for an acceleration of drilling and production of equipment sales within the offshore product segment which will benefit from continued secular growth in deep water spending. Demand for our proprietary completion services equipment continues to attract or outpace the U.S. rig count and we remain optimistic that activity will improve as the year progresses. As always, we remain disciplined in our allocation of capitals and are focused on achieving the best return on investment for our shareholders. Before we open the call up for questions relative to our earnings, I’d like to comment on the press release we issued yesterday regarding the potential spinoff of our accommodations business. Many of you have followed our company for several years. When I look back on a three year, five year and ten year historical basis, Oil States stock price performance has clearly been outstanding. In our opinion, despite delivering strong relative stock price growth, Oil States strive at a conglomerate discounts and pass to variant degrees for years. Accordingly, we believe there is the potential to unlock value and Oil States stock over time to a separation of the accommodations business into a standalone publicly trading corporation via attached re-spin to the company’s shareholders. As we outlined in an additional press release, the separation strategy we have proposed would be executed through attach free spinoff to Oil States’ shareholders, which is expected to be completed during or before the summer of 2014. The separation would result in two standalone companies, Oil States International and the accommodations business which will be renamed upon separation. Oil States would be comprised of the offshore products segment, the Well Site Services segment and the Tubular Services segment. The standalone accommodations business would continue to be a leading integrated provider of remote side accommodations and services for temporary and permanent workforces offering customers a turnkey solution for the workforce accommodations needs, food services, facility management and water and waste water services. As a standalone entity, the accommodations business would focus on continued growth through contracted room expansion in its existing Canadian oil sands, Australian mining and U.S. shale play markets as well as potentially expand into new regions and markets around the world. To facilitate the proposed separation, work has already begun to determine the detailed allocation of assets and liability, the management and governance of the company, the mechanics of completing the transactions among other matters. While we still have a considerable amount of work to do in this regard, we have structured the proposed plan so that both companies will be well positioned upon separation with strong balance sheets, an experienced management team to continue to invest and deliver value to shareholders. I’d also like to note that, we cannot provide any assurances that a separation transaction will ultimately occur or when does occur speak to it times or timings. Additionally, as a proposed separation does take place, there can be no assurance that the ongoing evaluation process with respect to the accommodations business will lead to a reconversion or any other transaction, but the rate evaluation is ongoing. As discussed in the release any separation will be subject to market condition, customary regulatory approval, the receipt of an affirmative RS ruling or independent tax opinion, the execution of separation and intercompany agreements and final board approval. The spinoff will not be subject to a shareholder vote. We firmly believe that both entities will have a solid growth profile and will be well positioned to compete effectively and efficiently in their respective markets. We will continue to provide updates on our progress as milestones towards this planned separation are achieved. Before we open up the call for question, I’d like to remind everyone that we’re here to discuss our second quarter earnings. We would appreciate it, if you could please focus your questions more towards earnings. Going forward, we plan to continue to update the market on the potential separation as it is prudent to do so. That does complete our prepared comments. John, would you please open up the call for questions and answers.
Operator: Thank you. We’ll now begin the question and answer session. (Operator Instructions) Our first question comes from Stephen Gengaro from Sterne Agee, please go ahead.
Stephen Gengaro – Sterne Agee: Hi, thanks. Good morning.
Cindy Taylor: Good morning, Stephen.
Stephen Gengaro – Sterne Agee: Two questions, the first on the completion services businesses the – you’re the rental tickets and price per ticket they seem to decide gravity here for the last year and a half. Can you give us some color on sort of what’s behind that and I know some it’s the technology, but what’s behind that strength and how should we think about that going forward?
Cindy Taylor: I’m resisting the temptation, say a good management because Chris is sitting across from me, but I really think you hit on the – in our embedded in our strategy has always been to focus on not only current technology, but emerging technology and we’ve attended the shy away from what I’ll call, a more commoditized services. I’ve been in this business for a long time and typically when activity increases and strengthens you get a lot of capacity in the more commoditized business lines and create a lot of volatility in terms of your operations and your earnings. And again, we talk about intensity as a well site and that really does play into our more proprietary equipment and that mixture is obviously very favorable in terms of price per ticket. We have some variability among the basins with our questions, but particularly as basins like the Bakken, the Eagle Ford and the Permian shift more and more to horizontal or complex completions extended reach laterals that really does help our mix. That is the best answer I can really give you.
Stephen Gengaro – Sterne Agee: Okay, thank you and then moving to the accommodations side. When you – I guess it’s sort of two parts of the question, but one on the Australian side can – that’s where assumingly the fundamental seem the sloppiest right now. How does – how do the contracts look there and sort of, what’s the sort of contract coverage as we look out to rest of this year and 2014?
Bradley Dodson: I’ll take that first and then let Stephen. The Australian business, really I would say or be it – it is having a much more difficult year than it had past couple. I think it’s performing quite abnormally given the economic backdrop, relative to our expectations coming into this year which has as you know our budgeting process are set kind of in the fall and end of the year of the prior year. We’re tracking fairly closely which get in deterioration and met coal prices and really not an uptake in the economy as a whole I think is quite laudable. So really we’ve got good contract coverage, we’re serving some of the top tier met coal mines and companies in the Bowen Basin. As we’ve noted, really starting probably third quarter of last year we had one customer’s mine closed that impacted a couple of locations and that hasn’t changed. We have really between contracts briefly really in the second quarter at (inaudible) but beyond that really the occupancies and all those or the contracted room levels are quite good. Specific to your question about the contract terms the majority – the major contracts that we have extend in the 2015, 16 and 17 and so really I feel pretty good about the contract coverage. These are take or pay contracts that we have been tested in other periods that stopped our activity and feel very good about our legal position as it relates to the take or pay nature of it.
Stephen Gengaro – Sterne Agee: Great, thank you. And then the other quick one on accommodations was, how was it going in the U.S. land. I mean is it – I know it’s a different type of market, but how do the economics in a Permian look versus villages in Canada and Australia?
Bradley Dodson: Well, I think in the U.S. that we were – we really not to rehash history too much, but it – the U.S. accommodations business until the advent really of the Bakken and really now the Permian and in the Eagle Ford really wasn’t terribly exciting just because if we go back to activity a few years ago Haynesville and Barnett are near major city centers, there isn’t a need for remote housing because the infrastructure was in place closer to where the workforce needed to be. What were – as we’ve entered the U.S. market or expand our presence in U.S. market, we’re providing a different value proposition in what people had experienced historically. If you’ve toured the areas, you see a bunch of trailers and fifth wheels and campers and tents even that is there. What we are competing against is live out allowance and what we were trying to do and we think that economically our value proposition does provides value to the customer, but at the end of the day we’re competing against live out allowance and whether or not people want to stay in one location or just get a live out allowance and figure it out on their own. So, there is going to have to be a shift in the way people address the U.S. market. I believe in our value proposition but it has been slow going in terms of changing that mentality.
Stephen Gengaro – Sterne Agee: Great, that’s helpful color. Thank you.
Operator: Our next question comes from David Einhorn from Greenlight Capital. Please go ahead.
David Einhorn – Greenlight Capital: Hey, good morning Cindy and Brad. First of all, I want to thank you and congratulate you for going through this strategic review in such a timely fashion and getting advisors and coming to the decisions today this to me seems to be very, very good development. I was hoping I could you to comment a little bit further in terms of what your current philosophy is toward a possible reconversion of the accommodations business. By which I mean and you can pick another option, but is it more or like there is nothing to do I mean we can’t decide to actually convert until January of 2015. The work has been done, but you don’t know how things are going to change. Congress could change the tax laws, the IRS could do something, REIT values could go do. So there is just no reason to commit to a decision right now, but if things stayed the way they were, it's the matter of sort of the time that getting in that direction or alternatively just to take the diametrically opposed view as well. All right, we’re going to spin off the company into a sea corporation, we don’t know who the management is going to be, we don’t who the board is going to be, we don’t know what’s the strategy is going to be at that point, maybe we need to get those things in line and figure out lots of other things that will come into play and then this will be sort of a fresh evaluation for those people are whoever – for you people whoever turns out to be sort of in charge there to take up in later part of 2014 post then.
Cindy Taylor: David, I have a little color to that, but I think you laid out a lot of our top process quite frankly and you are thinking obviously given the complexity of what we’re dealing and accessing there’s no way to make or read election that as far as January 1st of next year. And so it would be in fact, yes January 1st of 2015. We had a deeply embedded strategic plan in this company for many, many years and it has always over the line, I want to say six or seven years contemplated a simplification of this business largely led by spin off accommodations and again for benefit of the rest of the people on the call with the package of the time and quite frankly a very successful growth track record in our accommodations business. Overtime, we’ve moved a bit away from core, which I would call energy services model and in fact we employ a lot of hotel expertize and experts if they are coming with different business plan. In our view, it has great growth potential, not only within the energy and mining sectors, but I would say, outside energy and mining. And so we are really excited about the potential capabilities of this business line on a standalone basis. And it’s the fastest and most experienced movement in our view that proceed them is past with standalone audits, those audits are commencing I think immediately if they not already, they will pick up 2013 in the three-year period. Such that we would be in a position to start drafting a Form-10 and hopefully get that filed somewhere early in the year of 2014. And as you say, we’re very focused on leadership. I think it is critical to our long-term success in both companies, but I’ll also tell you I think we have a very deep and talented leadership team that we hope to offer growth potential and have a lot of the culture transferred to the spun off company and also remain with the residual company. We will bolster that with needed expertize down the road, but we don’t proceed wholesale changes to the way that we manage business and look at our strategies going forward. And I would think that would add some level of confidence to the shareholders and again it is a (inaudible) off the shareholders. So we are committed to the success of both of these entities going forward. Specific to our REIT, we spend and that process is ongoing. I think we can say, at this stage, we think it's doable, but to you point it doesn’t do a lot a good to make a call today when the election will have to be filed next year and it will be depended up on many things in the United States, but particularly potential movements in the tax laws but obviously if we didn’t think that there were potential viability of the structure, we would comment on that today and we continue to think it's possible but we have to assess the facts and circumstances that exits when it comes time to make that election. I hope that it addressed your question.
David Einhorn – Greenlight Capital: Very well, thank you guys so much.
Cindy Taylor: Thanks David.
Operator: Our next question comes from Collin Gerry from Raymond James. Please go ahead.
Collin Gerry – Raymond James: Good morning and I’ll let go that. Thanks for the through explanation regarding the prior question. I’ll speak to the quarterly stuff. I want to start kind of a little bit of interesting development on the foreign currency stuff, normally we don’t see you guys call out foreign currency. I guess there was a lot of movement and then at guidance that seem to be something that hamstrung –is hamstringing your accommodations guidance. Could you talk to us a little bit more about the company as in whole in particularly accommodations, how it's set up from a foreign perspective. What shall we be watching for and be cautious of in the foreign currency market?
Bradley Dodson: Sure, so thank you calling for the question. I’ll pass away most away to Cindy (inaudible) Our Canadian operations and Australian operations have local – are local functional currencies, that means that they have Canadian Dollar costs, Canadian Dollar revenues, Canadian Dollar borrowings and when the Canadian Dollar fluctuates against U.S. Dollar that ultimately creates a change and how those earnings and that balance sheet in the Canadian operations are translated back for the Oil States International consolidated financial statements, likewise in Australia is the same identical situation. The reason that we called it out in the press release and last night I got a question about it, it's not as much that it's really non-recurring but relative to the fact that as we were making our second quarter guidance disclosure on the first quarter call, the exchange rates were at a certain point to Cindy’s comments on the call. The Australian Dollar in particular is down 11% in kind of the last few weeks. And so it was more to alert everyone that really late in the quarter both currencies weakened against U.S. dollar and when their earnings in Canadian Dollars and Australian Dollars respectively were translated back to our consolidated earnings that did have an impact. Right now, looking at the forward estimates for the third quarter, they are roughly although the Australian Dollar this morning is having a rough morning. It is roughly in line with where we were at yesterday. And so, I think that it's just to alert everyone as you see a significant move in a quarter of the Canadian Dollar or the Australian Dollar that will have an impact on the U.S. Dollar equivalent earnings of our accommodations business.
Cindy Taylor: I might add one further comment to that. If you see the side in the short-term obviously in terms of the stronger U.S. Dollar and the impact on translated earnings over the long term is almost a buffering impact in the sense that devalued Aussie dollar will lead to higher profitability of our customer base and in theory help them recover from some lower met coal prices over time, so, you kind of have to balance that short-term, long-term. All we’re trying to do is highlight the issues that we faced and give you a good idea of some of the variability you need to factor into your earnings forecast.
Collin Gerry – Raymond James: That totally makes sense. That’s great color. The other one I had was we’ve heard so far, little bit through earning season and some of the North American service companies have been a little snake bitten by weather, whether it was in the Bakken or so on and so forth, but to your point regarding the non-commoditized nature of your completion services. I mean, business seems to be holding up very well for you guys. To that and – I’m a little surprised. Maybe they got into it a little bit higher for next quarter based on everything we hear regarding your completions activity, pad drilling and then this weather should be better. Maybe I’m off base; maybe could you talk to this specific there a little bit more?
Cindy Taylor: I’ll add a comment and we did have weather impacts predominantly in Canada. Just realize our base in Canada is fairly small relative to the total operations that we have. There was some wet weather in the Bakken, but I think that was maybe a smaller impact than what obviously went on in Canada. So part of it just maybe the way that we are structured and where our operations are and we kind of highlighted some of the markets where we’re having strength right now and the Eagle Ford, the Permian, the North East market in the United States and so those specific areas really wouldn’t have had the weather impact overall. So it’s I’d say a tough call in what we’ll call this flattish rig count environment in terms of how you’re going to go quarter-to-quarter. However, we are forecasting some sequential improvement in Q3, but we don’t see a real reason to be a hero in this one in light of the market that we’re in.
Bradley Dodson: Yeah. I think there are some – we get guidance as a relation to Well Site Services segment as a whole. To give a little bit more color on the two businesses within that, I think the drilling business maybe slightly down on a top line basis sequentially in the third quarter from the second quarter, just a little softer utilization, primarily in the Permian which is being offset by the fact that the Completion Services business is expected to be up a little bit off a sequential basis. That’s really some additional color there.
Collin Gerry – Raymond James: That makes a lot of sense. All right, perfect. I’ll turn it back.
Operator: Our next question comes from Blake Hutchinson from Howard Weil. Please go ahead.
Blake Hutchinson – Howard Weil: Good morning.
Cindy Taylor: Good morning, Blake.
Blake Hutchinson – Howard Weil: Just following up on the – I’m sorry to harp on this, but the currency issue with regard to as it pertains to your forward looking accommodations, margin guidance. I guess from the previous conversation, I didn’t necessarily gather that there should be any undue effect on a percentage basis. The margin guidance you leave us with for 3Q is really kind of reflective of what the business has to offer now rather than the currency impact on itself or am I looking at that incorrectly?
Bradley Dodson: Materially, the change in the FX rates will not affect the – let me back up. As it relates to the Canadian earnings in U.S. dollars, the change in the FX rate does not impact the percentage EBITDA margins because it’s the whole income statement as being translated back, same thing for Australia. To the extent that we have lower translated U.S. dollar earnings coming out of 2010 in Australia which puts an increased weighing on the U.S. business which has lower margin, it could have a margin impact. So that’s how I’d answer that question. But generally the FX rate is not the issue other than translating back Canada and Australia on that margin guidance.
Blake Hutchinson – Howard Weil: Okay, that’s helpful. Then just a smaller question within the completion services business. I guess for the last couple of quarter if I followed the Tempress commentary and the strip out that you guys give of that versus the base business, I understand it’s a very small acquisition. It would make it seem as if that business is sitting on margins a bit. Is that the case and is there something going on with the business that might provide a little relief as the year unfolds?
Bradley Dodson: Tempress is additive to margins. So that shouldn’t be an issue. I believe that it does have a slightly smaller revenue per ticket versus the composite completion services business. But it’s additive to margins.
Blake Hutchinson – Howard Weil: Okay, so it’s wrong to think that’s translating the margins. Okay, I appreciate and I’ll turn it back.
Cindy Taylor: Thanks, Blake.
Operator: Our next question comes from Jeff Tillery from Tudor Pickering. Please go ahead.
Jeff Tillery – Tudor Pickering: When I look at the CapEx guidance for this year, what would you guys need to see or what would need to happen if you did get that high end of the range? It’s been $600 million this year.
Cindy Taylor: We’re in fact now – we’ve moderated our CapEx guidance back to us a bit as we talked about and that’s really not a permanent reduction. It’s going to be shifting in our view and it’s actually timing more of some of our facility expansions in offshore products. To get to the high end, we still have embedded in that forecasts on accommodations growth, I would say particularly in Canada and we’re pretty committed to those. We need to see a reasonably robust market in Canada, I would say, if you get to the high end of that.
Jeff Tillery – Tudor Pickering: Are those new lodges or expansion of lodges? It’s basically projects that are ...
Cindy Taylor: It’s a little of both new expansion and its ancillary equipment. It’s some of the projects that we can do to get direct benefit by way of reduced operating cost. So there’s quite a variety of things that are out there.
Jeff Tillery – Tudor Pickering: And then for offshore products, the order intakes have kind of been flat through the last three or so quarters. Anything you see over the next couple of quarters that’s going to change that run rate one way or the other?
Cindy Taylor: There are some sizable bids that we have that if were to be successful, we would be above one time book-to-bill ratio. My best guess for that is fourth quarter-ish.
Jeff Tillery – Tudor Pickering: All right and then last questions I have just around accommodations margins as a respect for -- it would seem the biggest factor that would get you guys back to the – we’re talking about on the margin – couple of hundred basis points higher back to the low 40s, is this really the absorption in (inaudible) in Australia? Is that the biggest factor would you say?
Cindy Taylor: I wouldn’t – I don’t think they were absorption is necessarily right. But improved utilization in Australia would certainly be helpful and outside the U.S. margin too. We had some pretty good contributions in the U.S. in 2012 more on some of the mobile camp assets and we have a lot of competitions come in to the fly with the heated environment that we had and of course now that we’ve gone into a flat rig count, we’ve got all our capacity in the U.S. I’d say two folds focus on Australia and the U.S. that has some margin improvement there.
Jeff Tillery – Tudor Pickering: That makes sense. We could look back at the acquisitions you guys that make sense. Those were additive to margins. Okay, thank you.
Operator: Our next question comes from Kurt Hallead from RBC. Please go ahead.
Kurt Hallead – RBC Capital Markets: Good morning. So we had to just give a lot of detail here in thought processes on how you see the market evolving especially from the accommodations business? I think that’s all great and useful insight. I think I’m still grappling just trying to get my hands around what's going on Australia, whether this is a short-term business dynamic, whether or not it’s something that’s from where you guys sit. You started to kind of map out a different dynamic for Australia over the next two, three or four years. I just wondered if you could give us just little bit more on maybe your inner thoughts on how things have been changing there and what you’re thinking maybe a little bit longer out?
Cindy Taylor: Well, obviously we have a lot of site and optimism I would say in Australia over the long-term. It is a good market. There are some clear headwinds right now, but there is a macro factor to be considered which is China right now and that’s significant demand driver for the commodities that are exported out of Australia and there’s no secret that their growth rate has slowed dramatically. However, just this morning there are pieces out about them trying to do some easing if you will to infuse some growth back into the market and ultimately – I am no economist, but you’re going to come back to our call on China, they are trying to strengthen and diversify their economy and enhance the middle class and in doing so they will create a more stable long-term environment, but that’s pretty critical to a lot of people’s business, it's not only laser focused on Australia right now. Australia faces not only the met cold headwinds again driven by high production coming out of Australia and weaker demand coming out of China, but that -- in addition to that their cost have been high and so this currency correction as I’ve pointed out a little bit earlier will pin to moderate some of those impact, but we’re just in a period right in now where a lot of our customers’ cash flows are get, to say, they’re getting hard, it’s probably an understatement at this point. But I think in long-term, if you have a belief in a global economic recovery and you have belief in the strength of China, it will get better. The question is when? And most people thought by the latter half of this year, with the improvements, I think that’s premature and I think it will probably be 2014. We all do believe that because of the quality of the commodities that are implied in the country and the transportation advantages that they have over other global markets that things will improve over time.
Kurt Hallead – RBC Capital Markets: Great, great. Well you guys did provide a lot of detail already. I’ll just keep it there and leave some follow-up after. Thanks a lot.
Operator: Our next question comes from John Allison from BB&T Capital Markets. Please go ahead.
John Allison – BB&T Capital Markets: Hi, good morning. In regards to the spinoff, could you give us a little color on the potential costs to Oil States over the next year or so and do you expect these to be material and also will these restructuring costs be paid for under the Oil States name or the spun off accommodation segment?
Cindy Taylor: Yeah, we’re not going to comment in a lot specificity on that, but clearly there will be transaction cost that are pretty normal levels of transaction cost and since obviously the combined entity is affecting the spin off, it all depends on how you spin at the end of the day and were the debt is residual at the spin off day. However, we don’t think the cost to be too terribly significant related to the transaction itself. There will be breakage cost, but clearly we’re going to look at a cost benefit analysis and if you’re going to spend a certain amount of money, but yet create potentially $2 billion of value, then we would want to do that.
John Allison – BB&T Capital Markets: Okay, got you. And lastly in regards to pricing in OCTG market, do you expect that will continue to see a decline here or should we see a bottom in the near future?
Bradley Dodson: Well, I think that right now we saw our revenue per ton come down at second quarter. At this point I think we’ll hesitantly say we’re cautiously optimistic that we’ll see stabilization in the third quarter but that yet to be seen.
John Allison – BB&T Capital Markets: Okay, thank you so much.
Operator: Our next question comes from Daniel Burke from Johnson Rice. Please go ahead.
Daniel Burke – Johnson Rice: Bradley, can you remind me within the CapEx budget for this year, how it splits non-accommodations versus accommodations?
Bradley Dodson: Yeah, it has been running and I’m just looking to my number, that accommodations was about 60% to 65% of the total the CapEx. And based on current guidance, I believe that still holds but let me just double check. That’s right 60% to 65% still be focused on accommodations. We have a fairly at least relative to their historical levels, higher CapEx levels at off-shore products for the facility expansion Cindy mentioned. And then, I would say fairly normal level of CapEx for Well Site Services relative to last couple of years.
Daniel Burke – Johnson Rice: Okay. And so, I guess my follow up would be first of all, any detail on anything behind the slight delays you’re seeing in term so of – I believe that will be South America expansion or Brazil expansion at offshore products. I guess the second questions would be could you give a read for what if your kind of normalized CapEx is across the U.S. and offshore products business. Is D&A a good proxy once you get beyond the current elevated spend at offshore?
Bradley Dodson: The answer is yes. The D&A would be – depreciation would be a reasonable basis for normalized CapEx for those businesses as it relates to overall, it will depend entirely on how much growth CapEx is in accommodations.
Daniel Burke – Johnson Rice: Okay, helpful. Anything going on in Brazil regarding expansion plans?
Cindy Taylor: I think, they’re moving forward there. We started initial efforts with a service facility near (inaudible) to expand our service capabilities in the region and the second facility will be more geared towards higher end machining and fabrication. There has been a little bit of permitting delays that quite frankly it’s worked out just fine because Brazil had had to probably as a necessity moderate a little bit of their local country content requirements. And it has not stopped as getting our proportionate percentage of -- into backlog from Brazil, which was going to be able to do more in the U.S. for a little bit longer period. Again, the plans are not by any means eliminated. They’ve just been pushed back a little bit in term of actual dollars being spent. But everything is moving forward.
Bradley Dodson: Yeah and I think we’ve been pretty clear for some time that all of our CapEx, while we put it in a plan because it’s been approved and it’s been in the guidance that it was going to be difficult for them to spend all that money this year.
Daniel Burke – Johnson Rice: Understood, thank you all.
Operator: Our next question comes from John Daniel. Please go ahead.
Unidentified Analyst: Good morning. Just a question first on accommodation on the rev per room at 108 for Q2, Bradley, if you try to look out beyond into 2014, is there any reason that the Rev per room in ‘14 should average less than 108?
Bradley Dodson: Well, I haven’t give rev par guidance specifically for 2014 at this point. But I would say that in that 108 range be reasonable on a full year basis.
Unidentified Analyst: And then Q4 seasonality, someone talked about, some had not. At this point, do you see an indication as that Well Site Services or Tubular would be a drop off for Q4?
Cindy Taylor: I’m sorry, John. Which business line?
Unidentified Analyst: Well Site Services and/or Tubular?
Bradley Dodson: On Tubular, I think let us know what the rig count is in the fourth quarter. We’ll tell you what the actual levels are.
Cindy Taylor: However, Tubular usually have a strong fourth quarter that it’s not normally a seasonally weak quarter. We’re not really focused on Q4 at this time, but my comment would generally say that depending on the strength of the rig count and what our operators are doing that typically there is some downtime around Thanksgiving and Christmas and I presume that’s kind of what you’re hearing about, impossible for me to make that call right now. I don’t get too hung up on about it when people are just taking off for the holiday. There’s nothing that impacts your long term business, but I think if you were to ask me, yeah, I’d have to say there will probably be some holiday downtime.
Unidentified Analyst: I would agree with all that obviously. I just wondered if you’d have any discussion with customers at this point when they say, “Hey! We’re slowing down in November.” And just the heads up, that’s how it’s going?
Cindy Taylor: No, we’ve not.
Unidentified Analyst: Fair enough. In the last question Bradley, I don’t know if you can share this or not. But just the number of work tickets that you typically get through Tempress, just trying to reconcile what that adds from a ticket stand point?
Bradley Dodson: I don’t know off the top of my head.
Unidentified Analyst: Okay. All right, thanks guys.
Operator: Our next question comes from Jim Wicklund from Credit Suisse. Please go ahead.
Jim Wicklund – Credit Suisse: (Inaudible) helped out and so have all the other questions. I’ll pull. Everything has been answered.
Cindy Taylor: Okay, thanks Jim. Good talking to you.
Bradley Dodson: Thanks, Jim.
Operator: Our next question comes from Cole Sullivan from ISI Group. Please go ahead.
Cole Sullivan – ISI Group: Yes. I think I may have missed. You may have said something on this earlier. But on the offshore products revenue guidance for 3Q, it’s a nice up lift from the 2Q level. It looks like some of that’s going to be mixed on the service side. How much of that do you think will continue to flow through into 4Q?
Cindy Taylor: Part of it – it’s a pretty good uplift, the point delay and part of it is a major project that is shipping in Q3. It’s not all going to flow into Q4 by any means. There is an additive amount of service force that could have of course have carryover benefit into Q4. But I’ll tell you there is a pretty reasonable sized project that will ship in Q3.
Cole Sullivan – ISI Group: Okay, that’s all I had. Thanks.
Operator: Our next question comes from Stephen Carpel from Credit Suisse, please go ahead.
Stephen Carpel – Credit Suisse: Good morning. Maybe first, kind of on the operational side, trying to understand the lower CapEx in offshore versus some of the activities we’re seeing on the service side and have the two correspond and what that will ultimately mean for margins and how the service side margins impact?
Cindy Taylor: What happens in offshore product business as you have a greater build out installed base in a broader geographic footprint. You have a good service capability that’s not dependent upon CapEx or new facilities, it’s generally more dependent upon the installed base and the number of service technicians. So you shouldn’t draw necessarily a correlation from one to the other there.
Stephen Carpel – Credit Suisse: Okay. And then one for I guess for Brad. In terms of the spinoff would necessitate the need to take out the – so we tender or take out our consent before the high yield bonds or will this be I recon the transaction be done with the current indenture or indentures as I guess?
Bradley Dodson: Well, ultimately the indentures were governed what happens to the bonds. 2019 bonds and sort (inaudible) next year, so in the timeline we’re talking about they will be horrible as it rates the 2023 bonds based on the size of the transaction and ultimately what indenture will govern what happens to those bonds, but under the size of this transaction it doesn’t fit in the RT basket and so there have to be some sort of make all with those bonds.
Stephen Carpel – Credit Suisse: So when you refer to breakage cost you refer to a plus fifty make hole on those bonds as part of the transaction is what you’re referring to?
Bradley Dodson: There are many causes to it, but that would be one.
Stephen Carpel – Credit Suisse: Thank you.
Operator: We have no further questions at this time.
Cindy Taylor: Well, thanks everybody. It’s been a little bit longer conference call. I certainly understand that and I appreciate your interest in our earnings and certainly the interest in the future split off of the accommodations business. I’ll just reiterate that we’re positive about it and we’re excited about it. There’s a lot of work to be done, but I think it’s going to be very value creating for our shareholders and I hope you’ll stay with us through the balance of the big period needed. So I appreciate it. Thanks.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.